Operator: Welcome to Strategic Education's Third Quarter 2024 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I will now turn the call over to Terese Wilke, Senior Director of Investor Relations for Strategic Education. Mrs. Wilke, please go ahead.
Terese Wilke : Thank you. Hello, everyone, and welcome to Strategic Education's conference call in which we will discuss third quarter 2024 results. With us today are Robert Silberman, Chairman; Karl McDonnell, President and Chief Executive Officer; and Daniel Jackson, Executive Vice President and Chief Financial Officer. Following today's remarks, we will open the call for questions. Please note that this call may include forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. The statements are based on current expectations and are subject to a number of assumptions, uncertainties and risks that Strategic Education has identified in today's press release that could cause actual results to differ materially. Further information about these and other relevant uncertainties may be found in Strategic Education's most recent annual report on Form 10-K, the 10-Q to be filed and other filings with the Securities and Exchange Commission as well as Strategic Education's future 8-Ks, 10-Qs and 10-Ks. Copies of these filings and the full press release are available for viewing on the website at strategiceducation.com. And now I'd like to turn the call over to Karl. Karl, please go ahead.
Karl McDonnell: Thank you, Terese, and good morning, everyone. Our third quarter 2024 results reflect continued growth across all of our businesses. For the third quarter, SEI's revenue grew 6% to $304 million and operating income grew 13% to $37 million. Our operating margin increased to 12.1%. Expenses in the quarter were slightly lower than we expected due to the timing of expenses and lower-than-expected bad debt. Adjusted earnings per share were $1.15 during the quarter, an increase of 19% from the prior year. Turning now to our segments. U.S. Higher Education delivered another quarter of growth, driven primarily by our employer-affiliated enrollment. Total enrollment in U.S. higher education grew by 5%, with employer-affiliated enrollment increasing 13% compared to last year, reflecting the ongoing strength of our corporate partnerships. During the quarter, the percentage of U.S. higher education enrollment coming from our corporate partnerships increased by 200 basis points to 30%. Student retention in U.S. higher education remained stable at 87%. In the third quarter, revenue from U.S. higher education grew by 3% while operating income increased by 10% compared to last year. Our Australia and New Zealand segment posted another quarter of total enrollment growth with enrollment increasing 5% from the prior year to more than 19,000 students. In the third quarter, revenue grew 11% on a constant currency basis from the prior year, driven by higher enrollment and revenue per student. The higher enrollment was driven predominantly by strong continuing student enrollment. ANZ's revenue per student increased by 6% due to a higher course load and a onetime benefit from non-refundable student deposits. On a constant currency basis, ANZ's operating income increased by 5% compared to the previous year. We are studying the proposed international student caps in Australia and expect to have a clear understanding of their potential impact if and when they are legislated. In the meantime, we are focused on domestic and other growth opportunities in Australia and New Zealand. Our Education Technology Services segment continued to perform well growing revenue by 26% and operating income by 30% compared to the prior year. Sophia Learning, our direct-to-consumer portal of college level classes and a key component of many of our strategic corporate partnerships increased its revenue by 35% in the third quarter and generated a 49% operating margin. The average number of paid Sophia subscribers grew 33% to more to 45,000. During the quarter, Workforce Edge signed 4 new partnerships, including one with one of the nation's largest private sector employers and our largest ever corporate partner. As a result, the number of employees on the Workforce Edge platform now exceeds 3.7 million employees. Enrollments in Workforce Edge at Strayer or Capella University increased by 27%, reaching roughly 1,600 students. Lastly, a couple of points on capital allocation. First, during the third quarter, we paid down the remaining $60 million of our outstanding debt associated with the purchase of our Australian assets. And second, we paid $5 million to repurchase approximately 54,000 shares of common stock in the open market under our repurchase program. We now have $235 million of share repurchase authorization remaining through the end of 2025. In closing, we are pleased with the performance across our segments and we continue to focus on the success of our students and aim for a strong finish to 2024. And once again, I'd like to thank all of my colleagues at SEI for their ongoing commitment to our students. And with that, Gigi, we'd be happy to answer questions.
Operator: [Operator Instructions] Our first question comes from the line of Ryan Griffin from BMO Capital Markets.
Jeff Silber : It's actually Jeff Silber with BMO. Hi, guys. I wanted to start first on the enrollment numbers. You guys have been posting very solid enrollment growth, including this past quarter, but it did slow a bit from what we've seen in prior quarters. Is there anything specifically going on? It's just that the comps are getting tougher? Any color would be great.
Karl McDonnell: There's nothing in particular going on, Jeff. We've commented a few times in prior quarters that we thought the high single digit or even double-digit growth was outside of the norm of what we would normally expect over a longer cycle. We've said for a long time, including at our Investor Day last year that we kind of see the U.S. higher education business, in particular, as a mid-single-digit growth business, which is where it is in the third quarter.
Jeff Silber: Okay. That's fair enough. I appreciate that. If I can move on to Australia and New Zealand. You mentioned that you're studying the potential for the international caps. For those of us that are based here or not as close to the story, can you just tell us at a high level what's been proposed and just so we can get an understanding of what's going on there.
Karl McDonnell : Sure. The Australian government has proposed limiting the number of international students who can physically immigrate into Australia to approximately 270,000 students, which would be rough what is it, Dan? 30?
Daniel Jackson : Half of what it was…
Karl McDonnell : Pre-COVID?
Daniel Jackson : Yeah.
Karl McDonnell : Pre-COVID. So trying to get back to lower numbers than they had pre-COVID. These caps have to be legislated. It has to make its way through the Australian Parliament, which it has not done yet. I believe parliament is scheduled to meet later in November. So that would be the opportunity for these caps to become actually legislated and effectively ready for implementation in the first part of 2025. So we're obviously looking at the caps. We don't have anything more to say about them given that they're not legislated currently. But if and when that happens, we would certainly have more to comment on at that point.
Jeff Silber : Okay. Appreciate that. If I could just sneak in one more on Workforce Edge. You mentioned that the large client that you signed up, I'm not expecting you to name the specific client. But I'm just curious, was this a company that had done this before and they shifted vendors? Or is this something new to them? And any insight there would be great.
Karl McDonnell : Yeah. I can't. I'm not at the liberty to disclose the partner today. But yes, this is a large company who had education benefits, had an existing relationship with another education benefit management partner and elected to switch to Workforce Edge. We went live with this corporate partner last week, and we're delighted to be serving them and look forward to a long relationship.
Jeff Silber : All right, great. I’ll get back in the queue. Thanks.
Operator: Our next question comes from the line of Alex Paris from Barrington Research.
Alex Paris : Hey, guys. Thanks for taking the question. Karl, first question, you said that expenses were lower than expected. I just wanted to get a little bit more color on the increased spending. As listeners will recall, you said last quarter that adjusted operating margins would not expand by 200 basis points because of increased investment, primarily in ETS but also in other areas and instead maybe expand 150 to 175 basis points. So can I get a little bit more color on that comment?
Daniel Jackson : Hey, Alex, this is Dan. I think, as you know, our expenses in the third quarter typically peak for the year because of spend -- marketing spend going into the fall term. Karl's comment on lower than expected related to some bad debt benefits, et cetera, that just reduced that slightly. Now at this point, we think the investments that we referred to in the last call we've made, you can see sequentially from quarter-to-quarter this year, expenses have been growing, and we think now the expense base we've got is about where it will be on a quarterly basis through the end of the year.
Alex Paris : Good. That's helpful. And then again, I don't know if we discussed in detail last quarter what these increased investments are for in ETS, except that their investments designed to accelerate growth. Can we get more specific about investments, marketing, technology, what have you? And then what are you doing in Australia, New Zealand in terms of increased spending? Is that marketing and brand building?
Karl McDonnell : Well, in Australia, yes, predominantly, it's marketing, increased advertising, brand building. In ETS, now that we've disclosed that we signed a large corporate partner, a fair amount of these expenses were to hire advisers, coaches, other positions that are dedicated to this corporate client. As Dan just said, we've made those investments now. We have that staff on board. So the run rate that we have now is what we would expect through the balance of the year.
Alex Paris : Great. And then one last big picture question, again, just following up on the U.S. higher education enrollment growth. It's getting more into that mean, you were above mean in terms of growth rates you're getting back into the mid-single digit sort of thing. I wonder if you could offer us some additional color on the demand environment in general and cost per lead and things like that, cost per start.
Karl McDonnell : The demand environment remains healthy and strong. We continue to see increases on a year-over-year basis on inquiries into the universities. As I said in my prepared remarks, our corporate partnership enrollment is very strong, more than double the growth rate than our non-corporate partners. So I'd say the overall demand environment is good. To your last question on acquisition costs, they've been trending down year-over-year this year.
Alex Paris : Excellent, thank you. Appreciate the additional color. I’ll get back in the queue.
Operator: Our next question comes from the line of Jasper Bibb from Truist Securities.
Jasper Bibb : Hey, guys. Good morning. I just wanted to clarify the earlier discussion on expense timing. Like do you still think '24 operating margin expansion looks like 150 to 175 basis points based on what's in the 4Q plan? Or is it potentially higher than that now?
Daniel Jackson : Jasper, this is Dan. It's going to likely be at the higher end of that range.
Jasper Bibb : Okay. And then I wanted to follow up on the international student caps in Australia. My understanding of that rule was that the proposal was going to be allocated on a per university basis. So could you just frame where international student enrollment has been running at Torrens relative to their proposed cap? And if this gets implemented, do you think where the cap is for Torrens right now would be a headwind for new enrollment growth in Australia and New Zealand next year?
Karl McDonnell : Sure. International students historically, going back several years, would on average represent about half of the new cohort that we would have in any given term. Any cap whatsoever would be a reduction in that. But there's still some moving parts that haven't been clarified for us. So for example, if a university, assuming the caps were implemented, if one university in Australia is not able to use their caps, there's been talk about transferring some of that headroom to other institutions, and we would certainly think Torrens would be one of those. So until all of those questions get resolved, we think it's premature to talk about what exactly might the cap be for us.
Daniel Jackson : The only other thing, Jasper, I would say is that we have the example of when we first acquired the institution there was an effective cap because of COVID, and there was very few international students that were coming in and the Torrens University was able to grow its enrollment by growing domestic students. . So there's a lot of moving parts that affect enrollment, a governmental limit on the number of international students coming in and certainly a negative to that, but there are various other ways in which the university is attracting students. So it's hard to say at this point whether the ultimate resolution will be or the ultimate impact will be, not the least of which is because we don't know the actual regulation and the details is associated with our university.
Jasper Bibb : Makes sense. And then just you took down the debt this quarter, I think that had been priority number one from a capital deployment perspective for a while. Just any color on how you're thinking about repurchase at this point and into '25. Now that's in the rearview mirror.
Robert Silberman : Well, Jasper, it's Rob. We look every quarter as a Board at the opportunities to employ our capital. And the primary opportunity we always look at is investing in our existing businesses, particularly in improving the academic quality and success of our students because over time, that's proven to be the longest and most durable, high return investments for our owners. After that, we look to shore up our balance sheet. We went a long way towards that this quarter by paying down the remainder of that debt. And then the final use or the use that we look to after we have invested everything we need to, to support the business is returning capital to owners. We do it through both a common dividend and opportunistic share repurchases. We look to repurchase shares when we think they are trading at a significant discount to intrinsic value. And when we have excess cash, cash that is distributable to our owners without any negative impact on the business. So we'll continue to do that analysis through the balance of 24 and into '25. And to the degree that the outcome of that analysis results in the opportunity to purchase shares, we certainly are eager to do that.
Jasper Bibb: Got it. Last one for me. Revenue per student at U.S. higher ed is down, I think 2% in the quarter. I think kind of long-term algorithm you talked about was basically flat. I just follow-up on drivers of the decline in the quarter. And then as you look at, I guess, your '25 planning, should we think about that as flat or potentially down 1% to 2%?
Daniel Jackson: Jasper, this is Dan. The primary drivers are the continued mix shift to employer. I think the planning metric going forward should still be roughly stable revenue per student. But if we continue to see a shift to more employer, it could be a little bit to the downside, but not much.
Jasper Bibb: Got it. Thanks for taking the questions, guys.
Operator: Thank you. This concludes the Q&A session. I would now like to turn the conference back to Karl McDonnell for closing remarks.
Karl McDonnell: Thank you, everyone, for joining us this morning, and we look forward to discussing our results next quarter with you. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.